Operator: So we welcome to the Safran Full Year 2021 Results. At this time, I would like to turn the conference over to your hosts, Olivier Andries, Safran's CEO; and Pascal Bantegnie, Group CFO. Mr. Andries, please go ahead.
Olivier Andries: Good morning, everyone, and thank you for all of us -- to all of you for spending some time with us this morning in spite of, let's say, a very loaded actuality. I'm pleased to welcome you to Safran's 2021 earnings. I'm here with Pascal Bantegnie, our CFO. Let's go straight to Page 4 with the summary of our talking points today. Air traffic is holding well. We expect narrowbody air traffic to return to precrisis levels by the end of this year. We recorded solid profitability and free cash flow generation in 2021, exceeding our guidance. We are proposing to shareholders €0.50 dividend for 2021. Like in 2020, we have retreated the net income from the support provided by the government, especially the French government, and the contribution made by our Safran employees. I will update you on a couple of M&A transactions in line with the discussion we had at our Capital Markets Day. And the year 2022 will be marked by a return to revenue growth and further improvement in margin and cash. I will provide color on our guidance at the end of this presentation. I am on Slide 5. Air traffic evolution remains one of the key drivers for all our businesses, and we closely monitor the narrowbody average seat kilometer. Q4 '21 narrowbody ASK were close to 75%, slightly below our initial view for 2021. But the dynamic was positive throughout the year after a very challenging start of the year. In the early weeks of 2022, the recovery continues despite short-term volatility due to the spread of Omicron, and the Asian situation, more specifically in China with its zero COVID strategy. If you look more specifically at CFM engine cycles, on the right, the improvement is confirmed, although it has remained very uneven around the world in 2021 compared to 2019. The CFM56 remained the workhorse of the worldwide narrowbody fleet, with cycles in 2021 representing nearly 60% of their level of 2019. Regarding the fleet of LEAP-powered aircraft, we see that the airlines prioritize the utilization of newer and more fuel-efficient engines. So the LEAP utilization has been growing, thanks to deliveries and progressive return to service of the 737 MAX. An encouraging piece of data is the storage rate for CFM-powered aircraft. It has been decreasing, and at the end of 2021, it was almost half the level reached at the end of 2020. On Slide 6, let me share with you some of our main business achievements in 2021. On the left-hand side, civil engines. Total deliveries of CFM engines stood at 952 units with fewer CFM56 engines as foreseen and a slight increase in LEAP engines at 845 units. Civil aftermarket was up 7.1% for the full year with a good 54% improvement in Q4 2021 year-on-year and 32% sequentially. In Q4, CFM has also been selected by several customers, both for OE and rate per flight hours service agreements. Meaningfully, in 2021, it has also been very rich in successes in the military and space sector. With our partners, we signed new export contracts for the Rafale jet fighter, notably for the United Arab Emirates, 80 aircraft all new; Croatia, 12 aircraft; Greece, 18 aircraft, of which 6 are new. We also had an additional order for Egypt for 30 aircraft, all new. And earlier this month, Indonesia signed the first contract for 6 firm aircraft out of a contemplated transaction for 42 fighters. Safran is also on board the Airbus H160M Guépard helicopters ordered by the French MOD, notably with the Arrano engine and our Euroflir 410 optronics pod. A first batch of 30 helicopters out of a total of 169 has been confirmed by the French defense procurement agency. And last but not least, Ariane 5 has successfully launched the James Webb space telescope with mirrors and data systems from Safran. The thorough adaptation continued in 2021. I would like to take the opportunity to highlight the collective efforts made by Safran teams all around the world. Manufacturing footprint optimization. It has remained at the heart of our action. I already had the opportunity to present site closures. Additionally, we have kept the pressure on to optimize our industrial plan, especially at Safran Electrical & Power and at Safran Nacelles. We will prolong our efforts in 2022 notably in aircraft interiors. We are going to downsize our staff in Germany. We have an agreement with the Work Council there in Germany. And we are continuing to rationalize our industrial footprint at Safran Cabin in South California. Headcount was down by more than 2,000 people. As expected, the rate of short-term working has been decreasing at around 5% on average worldwide in 2021, and it is going to end in 2022. Costs remained under control with even slightly more savings on OpEx in 2021 than in 2020 and a decreasing P&L impact of research and development. After 2 years under the activity transformation agreement, a new agreement has been reached in October 2021 with the French unions. This agreement will allow a smooth transition towards getting back to a more normal situation and with a continuous focus on preserving skills and jobs. Indeed, for 2022, employees will continue to contribute to the competitiveness of the company through the acceptation of a reduction of discretionary profit sharing. Company top-up contribution to invested employee savings will also stay frozen in 2022. One should notice that a clawback clause could take effect and return extra profits to employees beyond an agreed recurring EBIT margin level. In that case, the return to employees would be achieved by easing the measures I have just described. On Slide 8, let me give you an overview of Safran's financial performance in 2021. As expected, both activity and profitability have been back-end loaded consistently with a sequential recovery observed on air traffic. Revenue was down 7.5%, in line with our guidance despite air traffic coming slightly short of our expectation in Q4. Recurring operating margin was up 160 basis points, thanks to continued recovery in revenue and to operational improvements on our cost base.  Free cash flow was up at €1.7 billion, an increase of over €600 million versus 2020. We have raised our initial guidance twice in 2021, notably due to customer advance payments on Rafale export contracts. All in all, we have been able to post very robust results, exceeding our initial guidance despite the challenging environment that is reflected in our top line. On Slide 9, portfolio management. We have been active on the M&A front, both on divestments and bolt-on acquisitions, as discussed at the Capital Markets Day. We sold activities that were considered noncore and not meeting Safran's DNA for over €500 million proceeds. I recall that core businesses should meet a few criteria: high barriers to entry, strong aftermarket and profitable growth. We are in the process to acquire, alone or jointly with partners, businesses that bring technology bricks to reinforce our positions in key segments such as Orolia that will allow us to build a world-leading position in all aspects of PNT, positioning, navigation and time, resilient PNT indeed, inertial navigation, time and GNSS receivers as well as in CILAS for laser. We also want to secure critical supply chain when needed such as with Aubert & Duval, as announced 2 days ago. Aubert & Duval is a key player in the development of new alloys that are needed for both civil and military application for their ability to sustain high temperatures. This acquisition is made under a consortium with Airbus and Tikehau Ace Capital. Safran will lead the operational management of the company. The transformation program will reinforce customer confidence and create a national champion with a strong French industrial base capable of serving global markets. I would like to emphasize some progress on climate strategy. We are setting new long-term objectives to reduce carbon emissions from our operations, I mean, Scope 1 and 2, and from some indirect emissions. Indeed, our objective is now to reduce Scope 1 and 2 emissions by 50% in 2030. This is in line with the 1.5-degree trajectory based on SBTi methodology. Regarding Scope 3 for the purchase of goods and services, we will engage, we will mobilize our 400 main suppliers, representing 80% of such emissions, on meeting the commitments under the Paris Agreement to keep global warming to well below 2 degrees and if possible, reach 1.5 degrees. Regarding Scope 3 emissions from the use of our products, we will take this year a significant step forward in disclosing emissions for all categories of products and an associated reduction objective based on SBTi methodology in our universal registration document to be released early April this year. As you remember, we launched the RISE technology program with our partner GE in June 2021 with 20% fuel savings at engine level in 2035, and that is part of the equation to increase the use of sustainable aviation fuels. Other example that will enable the use of SAF: our investment made through Safran Corporate Ventures in INERATEC, a German start-up that specializes in carbon-neutral synthetic fuel; and the partnership that we have signed with TotalEnergies. Besides, in Q4 2021, first flights with an engine running on 100% SAF have been successful, both with LEAP-1A and LEAP-1B and also with our Makila 2 helicopter turbine. Now Pascal, the floor is yours for more details about our financial performance in 2021.
Pascal Bantegnie: Thank you, Olivier, and good morning, everyone. I will be commenting today the adjusted accounts for which a bridge from consolidated accounts is presented on Page 12. Adjustments are the same as before, either relating to FX or PPA. The number circled in the table, €528 million, reflects the mark-to-market of instruments hedging future cash flows recorded in financial income in 2021. It is, as you know, a pure accounting entry with no cash impact. On the same topic on Slide 13, the euro-dollar market has been very volatile in 2021 with a clear trend to a stronger U.S. dollar, ending the year at $1.13. This morning, the spot rate was at $1.1250. We took this opportunity to improve the average hedge rate of our book while further hedging our net exposure to USD sales. As a result, for 2022, we are comfortable using a hedge rate of $1.15 per euro, which compares favorably to 2021. As per our policy to hedge on a 3- to 4-year horizon, we will continue to hedge 2025 in the course of this year. Page 14 provides a summary of the income statement. Olivier already highlighted the solid margin expansion on the lower revenue base. Therefore, I will comment below the line items. The decline in share in profits from joint ventures is all attributable to ArianeGroup. One-off items amounted to €405 million, a lower level than we had in 2020. We booked a €79 million reserve for restructuring costs, notably for a plan to be executed this year for Safran Cabin in Germany. This is consistent with our plan to regain competitiveness in aircraft interiors. We also had to impair intangible assets on several programs for a total of €309 million, €180 million of which were already booked at the end of H1. It also includes capital gains from divested activities during the course of the year. In financial income, except the costs related to the restructuring of our 2023 convertible bond during H1 for €19 million, the cost of debt was nearly unchanged compared to 2020. In addition, a stronger U.S. dollar had a negative impact on the revaluation of some USD positions in the balance sheet, namely on provisions for liability and charges, explaining most of the negative impact. Tax rate is coming at 34%, a higher level than we had last year due to a few one-off items. First, the €146 million write-down on Ariane 6 assets had a base effect as it is accounted under the equity method. Without these base effects, the rate is 30.7%. Taxes were also paid on capital gains from divestments, notably on Safran Ventilation System. Net income to the parent is €760 million, which is €1.78 per share, down 10% from last year. Now on revenue, Page 15. We reached a low point in revenue in Q1 2021. Revenue has grown ever since, both year-over-year or sequentially, which provides comfort that the worst is now behind us. Q4 sales increased by 5.3% organic at €4.6 billion compared to Q4 2020. On a full year basis, we lost about €900 million of sales on an organic basis, which is down 5.4%. The average euro-dollar spot rate came higher than last year, $1.18 compared to $1.14, which had a negative impact on sales when translated into euros, mainly during the first semester. The divestment of EVAC and SVS Oklahoma had a negative impact of €27 million in revenue. EVAC was closed in June 2021, and the sale of SVS was closed in November 2021. Same chart on recurring EBIT on Page 16. As Olivier said before, margin improved by 1.6 points to 11.8% of sales, exceeding our outlook. This solid performance demonstrates our cost control on a lower revenue base. Drivers were already discussed during the year: growth in civil aftermarket, continued operational improvements on the cost base and contained R&D expenses. These upsides were partly offset by the impact of the cost of the CFM56-to-LEAP transition with lower high-margin CFM56 OE deliveries. Exposure to widebody platforms, notably 787 and A350, also had an impact in the Equipment and Aircraft Interiors branches. A few words on R&D on Slide 17. Starting from the bottom of the table, the P&L impact in EBIT was reduced by €78 million. R&D represents 4.4% of sales, which is consistent with the average midterm target we disclosed at the CMD of 4.5%. Back on top of the table, we did increase self-funded R&D by 16%, reaching nearly €400 million. The efforts are mainly directed towards decarbonization through the RISE technology program discussed earlier by Olivier. Capitalized R&D grew by €32 million, mainly in Propulsion and Equipment. Moving now to performance by activities on Slide 18, with Aerospace Propulsion showing a strong 2.4 points margin improvement. First, revenue was pretty flattish on an organic basis with slight growth in services. Propulsion sales increased by 14% in Q4 due to a strong year-end in civil aftermarket, which was up 54% in Q4 compared to Q4 2020 and also up 32% when we compare to Q3 '21, as we were expecting. On a full year basis, civil aftermarket came at 7.1%, on the low end of the guidance. Let me now provide more color on that on a full year basis on civil aftermarket. First, the number of shop visits for CFM56 second generation grew by around 15%, and we were guiding for mid-teens, so this is in line. As discussed many times along the year, revenue per share visit was slightly down. So globally, spare parts sales for CFM56 were up. Spare parts sales for high-thrust engines were down. And as in 2020, service contracts were better than spare parts and had a very good contribution on a full year basis. Regarding OE, apart from LEAP and Rafale engines, deliveries were down, notably in CFM56, high-thrust engines and helicopter turbines. Same slide on Equipment and Defense on Page 19. The activity suffered from a sharp drop in OE revenue, minus 10.2%, notably due to the exposure to widebody platforms: 787, A350 and A330. Total revenue decreased by 6.3% due to lower OE volumes for wiring, power distribution and landing gear activities. Sales for nacelles were flat, thanks to LEAP-1A for A320neo and despite the end of A380 and A320 classic programs ending. Services slightly increased, notably driven by landing gear repair activities and wheels and brakes. In H2 2021, we enjoyed a strong increase in aftermarket across all businesses in the range of 20% compared to H2 2020. Defense remained resilient, it was true as well in 2020, thanks to good end market dynamics, notably navigation and soldier modernization programs. Here again, operational improvements and growth in services led to a slight margin improvement of 0.3 points in 2021. Finally, yet importantly, Aircraft Interiors suffered the most with the top line dropping by 20%. The low point of sales has been reached somewhere between Q1 and Q2, but we recorded good orders in Seats and Cabin during the year, providing confidence in a return to strong 2-digit growth in 2022. Apart from IFE, in-flight entertainment activities, all businesses had negative growth such as business classes or galleys on floor-to-floor activities. Recurring operating losses reached €167 million, which is a number close to 2020. Still, the trend is improving, with H2 loss representing about half of the H1 loss. Negative 17% recurring operating loss margin in H1 improved by 10 points in H2 at a negative 7%. As an example, we continue to improve our operations with some restructuring ongoing in Safran Seats France and Safran Cabin Germany, as I said before. We're also making efforts to restore industrial performance in Cabin Mexico. So we are expecting further improvement in profitability as we move along 2022. On Slide 21, free cash flow came out at €1.7 billion, well above the initial guidance of €1 billion. This excellent performance is driven by a couple of reasons. First, EBITDA grew by 11%, which is nearly plus €300 million. We also had a good control of working cap. Inventories were down with a positive impact of around €300 million, which is almost all in Propulsion. Deferred income increased by around €300 million, half of that coming from RPFH contracts and half from R&D customer financing. We received significant customer advance payments in relation with recent wins for Rafale's export contracts. We also benefited from a decrease in cash outflows related to tangible CapEx, which were down 14% year-over-year, reflecting the tight control in CapEx commitments we had back in 2020. On Slide 22, net debt came out at €1.5 billion. I guess the waterfall speaks for itself: free cash flow of €1.7 billion, a dividend payment of less than €200 million and a financial investment in noncash equivalents for €200 million. It does represent leverage of 0.56x EBITDA. As you know, Safran enjoys a very strong balance sheet with a gross cash position of €5.2 billion, which is up €1.5 billion compared to 2020. And for your complete information, we've repaid last week the $540 million USPP notes issued in 2012. It was immediately refinanced through the drawdown of the European Investment Bank loan of €500 million. This is in line with the conversation we had during the CMD early December. Olivier, back to you.
Olivier Andries: Thank you, Pascal. Let me now give you some insights on Slide 24 about how we foresee the environment for 2022. Under the assumption of no further disruption to the world economy, I think it is important to highlight, to underline this, especially these days. Regarding air traffic, we will be continuously reviewing the situation as it evolves. Omicron is likely to have some effects on Q1 2022 traffic. Bottom line, though, remains a significant improvement of air traffic, with narrowbody ASK reaching their 2019 level at the end of 2022. So on average for the year 2022, our baseline scenario is an increase of narrowbody ASK in the 35% to 40% range compared to 2021. This will drive an increase in civil aftermarket revenue in the range of 25% to 30% compared to 2021 and a ramp-up in LEAP deliveries, consistent with the dynamics that we have discussed at the Capital Market Day, bringing us at around 2,000 units in 2023. Regarding other assumptions, CapEx outflow will increase by around 40% as a consequence of the step-up in commitments in 2021 and in 2022. R&D P&L impact will grow by around 20% as we accelerate our research and technology efforts. And exchange rates, spot rates will be -- we expect at $1.18 and hedge rate at $1.15. On the right-hand side, watch items have not changed since our last Capital Markets Day: traffic recovery pace, obviously; recruitment and wage inflation; supply chain monitoring. And this is going to be, let's say, the main watch items, I'd like to say. Cost inflation; shortage of materials and components. With this set of assumptions, Safran expects to achieve for full year 2022 an adjusted revenue between €18 billion and €18.2 billion, which represents a growth of around 18%; and adjusted recurring operating margin of around 13%, which is 1.2 basis point improvement in margin -- 1.2 points, sorry, improvement in margin; and free cash flow generation of around €2 billion, which represents 85% of our recurring EBIT. For the fiscal year 2021, Safran will propose to its shareholders a dividend of $0.50, representing a 28% payout ratio. This level reflects the solid financial performance delivered in 2021 but takes also into account the contribution of our employees to our productivity efforts in 2020, in 2021 and in 2022 as well as direct contributions from the French government in the form of short time working. In addition, following May 2022 Annual General Meeting, and in the context of the anticipated recovery in air traffic, the Board of Directors will review its practice in order to ensure growing and attractive returns to shareholders and notably reconfirms its objective to resume its historical practice of 40% dividend payout ratio. To conclude this presentation, I would like to focus on our few key priorities. We will remain agile in the face of changing business conditions, and the 2 years ended have shown our ability to adapt speedily if needed. We are focused to managing the ramp-up in OE deliveries, and here, LEAP is our top priority. We have a clear and ambitious research and technology road map leading to more investment to tackle the greatest challenge of our industry, that is decarbonization. We will continue to actively manage our portfolio with the same principles that have guided the divestments and investments already made. And last, but not least, Pascal and I have disclosed the path to growth in earnings and cash towards 2025. 2022 is the first milestone towards this goal. We are committed to deliver on this expectation. Thank you for your attention. We are ready to answer any questions you may have.
Operator: [Operator Instructions] And we have our first question from Robert Stallard from Vertical Research.
Robert Stallard : A couple of questions from me, if you don't mind. First of all, on 2022 guidance, what are your assumptions on 787 deliveries by Boeing and how that cascades down to you, particularly in Equipment and Interior division? And then secondly, it sounds like Airbus is going to decide on whether to further raise the A320 rate this year. What's your latest views on whether that rates rise is sustainable?
Olivier Andries : Thank you, Robert. 787, you know the situation. We don't expect, and this has been communicated by Boeing that deliveries will not start again before spring. So globally, we expect, let's say, the number of aircraft produced to be down and below 40 for us in terms of production, I'm talking about production. So we expect the number of aircraft to be produced to be below 40. That's how we made our assumption. On Airbus rates, I think you have heard Guillaume last week. He said that he would plan to decide by mid this year on the scenarios for 2024 and 2025. So basically, I can reconfirm that we are committed to deliver a rate 65 for 2023, as discussed. And basically, we plan to make a decision by mid-year for 2024 at least and going forward. The main point of attention these days is really going to be the supply chain situation. I would like really to stress the fact that the supply chain has been extremely fragilized. The situation is extremely acute, especially in the U.S. Suppliers have decreased significantly, in the course of 2020, their headcounts, and some are struggling to recruit those days. We face shortages of raw materials, electronic components, chemical components, metallic raw materials. So our main focus in the months to come is going to be on the supply chain and our supply chain capability to deliver parts.
Operator: So we have another question from Ben Heelan from Bank of America.
Ben Heelan: Yes. I wanted to ask a follow-on to the comments you just asked around supply chain in terms of Russia and your exposure there from a titanium perspective. And we heard from some of your peers yesterday about some delays in terms of deliveries of engines to Airbus on the GTF. Is that something that you're experiencing on the LEAP? Just any comments there would be great. And then the second question I had was on visibility for aftermarket this year. How confident are you? What sort of visibility do you think that you have? And is there any breakdown in terms of services and spares? And how we should think about the 2 components this year.
Olivier Andries : Okay. Supply chain, you might have noticed that, basically, we've delivered 845 LEAP in 2021, whilst we were basically planning to deliver 900 as announced in October. So we have experienced in Q4 2021 shortages of parts, especially coming from our U.S. supply chain. I'm talking about CFM LEAP. So basically, our U.S. supply chain has been struggling. And this is why I outlined the focus of our teams on supply chain. This is going to be an everyday fight to get the parts. Russia. Russia and supply chain, the key point is titanium. As a matter of fact, and since day 1 on LEAP, we have had a double-source policy on every part, and this is equally true for raw materials. But yes, indeed, VSMPO is our main supplier of titanium. They are Russian. And they weight, less than 50% of our titanium supply. So we have other suppliers. We -- I mean, considering the situation in Ukraine, we have decided since the start of this year to buy stocks. And indeed, we have increased our stock of titanium since the start of this year. So we have, let's say, -- several months in advance in terms of stock of titanium for our landing gears and for our engines. But we are going to accelerate also the other sources of titanium. For aftermarket, maybe Pascal will answer.
Pascal Bantegnie : So back to the comment made by Olivier on traffic and narrowbody traffic, we expect to return to precrisis levels by the end of this year. Q1 should be more or less in line with the Q4 trends due to the spread of the Omicron. You know that this recovery in traffic of nearly 35%, 40% in the year is very supportive of the aftermarket. That's why we guided for civil aftermarket to be up by 25% to 30% in '22 when comparing to 2021. First item, like in 2021, services are likely to post a growth above 10%, so good growth in services. On spare parts, number of shop visits, so in terms of volume, we would expect good growth more or less in line with the growth in traffic, meaning in the mid-30s. Looking at revenues per shop visit, considering more or less stable work scope and pricing being up, revenue per shop visit should be slightly up. Regarding high-thrust engines, we would expect a much lower growth compared to the CFM56. So that's why, all in all, we believe that in the high 20s is a good number for 2022.
Operator: So we have another question from George Zhao from Bernstein.
George Zhao: I guess picking up on the civil aftermarket right there, I guess was there any onetime benefit driving the strength in Q4? Considering this quarter, your civil aftermarket was down about 18% versus Q4 '19, outpacing the narrowbody ASK recovery down 25%, and that really reverses the trend we saw in the prior quarters. And your '22 guide, you again have narrowbody ASK coming ahead of the civil aftermarket recovery. So I was just wondering, was there any anomaly in Q4 in this outperformance? And I guess my second question, just wanted to get your thoughts on some of the sensitivity of your different businesses for '22. If we see a situation where we have a much better recovery, both in traffic and delivery, than what's been expected, I guess, which of your divisions would you still expect to have the most difficulty exceeding your current target because of supply constraints or any other issues? And I guess, conversely, which division would you envision would have the least difficulty given the least of those constraints?
Olivier Andries : A lot of questions, George. Maybe a first one and maybe I will let Pascal elaborate a little bit more. But on aftermarket and civil aftermarket, Q4 is traditionally a very strong quarter for a very simple reason. This is when in November, especially, this is the time where we apply the new pricing on the new catalog pricing. So there is a rise of pricing in November. And as a consequence, we get a lot of orders from customers and shops just in advance of this price escalation. So Q4 is a really strong quarter, and we have seen that in 2021 as well, as you have seen from the numbers. So we should not expect Q1 2022 to be stronger than Q4 2021. I mean you should expect Q1 2022 to be lower than Q4 2021. And once again, I mentioned Omicron is impacting short term-wise the narrowbody traffic. We have not seen a pickup of traffic in January versus December last year was slightly down. So we expect Q1 2022 to potentially be impacted by the Omicron variant. So for all those reasons, you should expect Q1 2022 to be lower than Q4. You want to elaborate a little bit more, Pascal, on that one?
Pascal Bantegnie : Yes. I guess, I'd say, I can also complement by saying that looking at 2022 growth in civil aftermarket, H1 growth should be higher than H2 for the simple reason that the comparison basis in H1 '21 is much favorable. It was weaker sales in H1. So full year 25%, 30%, but we should post higher growth in Q1 and Q2. Also in value, obviously, Q4 '22 will again be the largest quarter. And to complement what Olivier said, Q4 '21 in civil aftermarket represented almost 1/3 of the total civil aftermarket in value for the year. So just to say that Q4 is usually a very strong quarter.
Olivier Andries : Okay. Now regarding your second question on the sensitivity of our segments' performance. I would say that Equipment -- the Equipment and Defense has shown a strong resilience in 2020 and 2021. So I would expect this segment to be resilient in 2022 as well. Propulsion, as you would expect, will be dependent on what's going to happen on the narrowbody air traffic, obviously. So if, basically, the air traffic is better than expected, then good news. And if it is lower than expected, then it will have an impact, obviously. But of course, in that case, we would take additional measures. I would say the segment that is going to be the most sensitive and where the challenge is probably the highest, is Aircraft Interiors. Of course, we are absolutely determined to continue to improve the operational performance of Aircraft Interiors in 2022, going to breakeven. Now I have to say, this is also highly dependent on the top line. This is a segment that is the most exposed to widebodies, and therefore, this is the one segment that has been the most impacted. So we are on a good dynamic, though, because as Pascal has outlined, H2 2021, we have cut losses by half. So we will continue to be on that path. But let's say, reaching breakeven at H1 is a real challenge, so we should not expect to reach breakeven at H1. We should expect to still have losses in H1 for Aircraft Interiors. Now we are aiming at being above the line in H2. And the key question is will it be enough to make it for breakeven for full year, a little bit early to say.
Operator: So we have another question from Celine Fornaro from UBS.
Celine Fornaro: I would have 2, if that's possible. The first one is, Olivier, just a real view on the ramp-up further beyond the current base for 2023. If you could confirm that the decision is mainly relying on the supply chain and not because of market demand questions, not because you think that the order books are not full enough. And the second one would be for Pascal on the cash outlook for 2022, which is a good outlook for the €2 billion. If you could just explain a bit of the assumptions on the working capital and the prepayment movements that you assumed there.
Olivier Andries : Thank you, Celine. So as I think I said on the ramp-up, our main focus is really the supply chain and, basically, the ability of the supply chain to follow the pace of ramping up. So we are strongly focused on that with the goal to reach rate 65 for Airbus by 2023. I have to say as well that on the Boeing side, they are going to ramp as well because they'll go from rate 15, 16 at the end of 2021 to a 30 or so, 31 by spring 2022, and they plan to go to rate 50 or so by the end of 2023. So you see we have a ramp up to manage on both sides. So main focus, supply chain. The decision that we will have to make by mid this year is for 2024. And -- well, we'll make that decision for 2024 with Airbus. That's it. Too early to comment further.
Pascal Bantegnie : Okay. And your second question, free cash flow guidance for '22, as we said, is around €2 billion, which is up nearly €300 million from 2021. First, we should benefit from a strong increase from EBITDA. We say that recurring operating income should improve more or less by 30% if you do the math. So EBITDA should increase by more or less the same amount. And we are also expecting a slight positive contribution from working capital. As we said, we are expecting to increase the production rates notably for the LEAP engine. So it will have a negative impact on inventories.  But in the meantime, down payments, notably, thanks to the Rafale export contracts, will be up. And deferred income related to the RPFH contracts for CFM56 or LEAP will have a positive impact as well on working cap. So all in all, working cap should have a slight positive contribution to cash. So EBITDA plus a positive impact from working cap. And we've given you the numbers for the investment, both in R&D and CapEx. That makes the free cash flow guidance for '22. I will add that we are about to pay a dividend of slightly more than €200 million. And I'm sure you've all done the math that we should come to a net cash position by the end of this year, which is 1 year ahead of what we said at the Capital Markets Day given the strong free cash flow generation we had in '21 and the one we expect in '22.
Operator: So we have another question from Tristan Sanson from BNP Paribas Exane.
Tristan Sanson: Probably more question for Pascal, I must say. If I come back to the bridge that you presented at your Capital Market Day with color codes to indicate the tailwind and the headwinds, for '22, you were talking about for headwinds: R&D, the CFM LEAP transition, personnel costs and purchasing. You quantify for '22 the increase in R&D by 20%. You said so, like €130 million or so of headwind. Can you make some comment on the extent -- so I would like to see actually whether you revised a bit your perception on the extent of this headwind since the Capital Market Day, a number of things has changed. You had the agreement with the unions, you are talking about a tighter labor market in the U.S., for instance, and you're also shipping a bit less LEAP than expected. So a sentiment on the trajectory, whether it's better or as expected, would be helpful. And if you can give us specifically for '22 some quantification, that would be really helpful in understanding the earnings trajectory. And then I will have to leave the room for other questions.
Pascal Bantegnie : I would have expected these kind of questions from you. Okay. So you refer to our traffic light slide during the Capital Markets Day, which obviously remains very valid. First, before talking about the headwinds, the tailwinds, as everyone has noticed, civil aftermarket is slightly up. We'll continue to increase Equipment and margin in Equipment. And as Olivier mentioned, we are trying to reach breakeven in Aircraft Interiors. We continue to monitor general expenses, and everything we've done on the footprint should be a plus at some point in time. So now looking at the headwinds to margins. Number one is clearly the CFM56 LEAP transition. We should have about a reduction by 50% in CFM56 OE deliveries in 2022, and this is coming at a higher OE margin so this is clearly negative. And as we will ramp up the production of LEAP engines, which is coming at a negative margin, the volume will have an impact on margin. You have mentioned profit sharing, so personnel expenses. We are progressively returning to 2019 level, so this is also negative. So these first 2 items are in line with what we said at the Capital Market Day. R&D is also another negative because we are increasing R&D notably in the decarbonization area. We've mentioned also inflation during the Capital Market Day. And I remember answering to a question, I said that it was an impact of 30 to 40 basis points to the margin. I would say maybe this is slightly up compared to what we said at the Capital Market Day. So my guess would be more 40 basis points than 30. We clearly see a rise in raw materials. You've mentioned titanium. But for titanium, the price is pretty stable since 6 months. But when you look at nickel and other raw materials like aluminium, it has been up by 30% in the past months. Then we will increase headcount and salaries by 3% in France and sometimes slightly higher than that outside of France. So this will have a negative impact as well. Keep in mind as well that we enjoyed a very strong growth in military engines, notably the M88 in 2021, by doubling the number of engines delivered. In 2022, we would expect reduction by about 1/3 of deliveries on the M88. We've signed a number of export contracts, but the Indian contract is coming to an end this year before we can resume good growth in M88 starting from '23. So this will have also a negative impact on margins. So it's a lot of components, but all in all, all divisions will experience margin improvement in 2022.
Tristan Sanson: Looks like you are ready for that question. If I can ask a very quick follow-up, you say M88 deliveries will be down 1/3. We have, I think, support activities that are ramping up at the same time from the award of the Boléro contract. Can we assume that military overall will be in proportion roughly flat or still down?
Olivier Andries : No, no, no. Military will be down this year compared to last year globally. We have announced the Boléro contract, yes, indeed, but we enjoyed a 10-year contract before. This is a rate per flight hour contract, by the way, on M88. So we had a contract that we have renewed for the next 10 years, okay? And we had a very strong year in aftermarket for military in 2019, and 2019 was an exceptional year for aftermarket in military. An exceptional year, I stress that. And 2021 was also a very good year in aftermarket for military, especially in relation to our OE deliveries because when new countries are taking deliveries of jets or fighter jets, they have to order initial provisioning. So we have enjoyed also a strong initial provisioning in 2021 as well. So globally, it's going to be down this year. It's a headwind.
Operator: So we have another question from Aymeric Poulain from Kepler Cheuvreux.
Aymeric Poulain: Most of my questions have been answered, but I wanted to check the financial implication for the recently announced acquisition of Aubert & Duval, see what are the kind of the main considerations here. And also if there are other situations within the supply chain that you feel might need you to act the financial sponsor.
Olivier Andries : Okay. I will take that one, Aymeric. So first, as an initial statement, it is not our policy to vertically integrate our suppliers. So Aubert & Duval is a very specific case. Aubert & Duval is very strategic for us, as it is, by the way, for Airbus as well and for the entire, let's say, aerospace ecosystem here in France. Why is it so strategic for us? Aubert & Duval is what we call an elaborator of super alloys. They are the only company outside of the U.S. that is able to work with an engine manufacturer to elaborate new alloys that are capable of sustaining higher temperatures. And this is a key enabler for, let's say, new generation of engines, be it civil or military. So Aubert & Duval is our key partner to elaborate the hot section of the engine that will power the next -- the new generation European fighter, okay? So we need them for that, highly strategic. And on top of that, Aubert & Duval is a forging company. In a context where basically the forging supply is a sort of -- is very oligopolistic with 2 big players in the U.S., so we need also Aubert & Duval to keep our forging suppliers honest, if you see what I mean, and to regain, let's say, negotiation power in that respect. Aubert & Duval has strong technical competencies, but Aubert & Duval was not anymore in the key strategic focus of Eramet, was badly performing in terms of operational performance. And so it was important for us to make sure that we would keep this supplier -- this strategic supplier, let's say, not only afloat but also performing. And this is why we've decided together with Airbus and also Tikehau Ace Management that has decided to accompany us basically to make an offer to acquire Aubert & Duval. And we at Safran, because we have metallurgic competencies within Safran, basically, we will take the main operational role in Aubert & Duval. Now for the financial side of it, I will let Pascal elaborate.
Pascal Bantegnie : Aymeric, I would like to recall that we have a tradition in France to have a dedicated fund to support the supply chain. Today, the fund is up to €700 million with -- so it was initiated by the French government with the support of the key industrial players, of which Airbus, Thales, Dassault and, obviously, Safran will contribute to this fund. So we are closely monitoring our supplier base. And what we do is to provide equity support to suppliers which are in financial distress. So far, this fund was used up to, let's say, 10%, more or less. This is managed by Tikehau Capital, so -- which means that suppliers have not shown too much difficulties so far with that respect.
Operator: So we have another question from Harry Breach from Stifel.
Harry Breach: Just -- hopefully, 3 easy ones. Firstly, when we think about shop visit activity over this year and into next year, we've been through a period over the last 2 years really of fairly minimal work scopes for maybe many or most shop visit customers. At some point, they will have to do great work of scopes, more LLP replacement. But you seem to be taking a little bit of a sort of cautious view about no increase in work scope this year compared with prior years. Is there anything that sort of is leading you to that caution that you don't think there will be any improvement in work scopes given quite a demanding summer flying schedule upcoming in particular? Second question, if I can, just thinking about the spare engine market. Clearly, demand for spare engines at a low level during the COVID crisis at the worst point. Can you give us a feeling about demand for spare engines going forward? I understand that the sale and leaseback market is extremely active for latest-generation narrowbody markets with extremely good pricing, and I'm wondering whether some of those dynamics you're seeing perhaps in your demand. And then just finally, again, thinking about the OE side, particularly on LEAP. Escalation rates, as we think about some of the formulae that drive those linked to PPI, producer price indices, and wage indices in the U.S., clearly running at very high levels. Can you give us some feeling about whether you expect to see any sort of material or significant benefit from price escalation year-on-year in this year?
Olivier Andries : Okay, Harry. Yes, indeed, as we have commented, in the course of 2021, we've seen a decrease, a slight decrease of work scope in shop visits. The airlines have been basically, on average, pushing to the right, let's say, especially the LP side of the shop visit, the fan typically and sometimes the LP turbine. And we said at some point in time later, we should potentially expect a catch-up. We don't expect that to come in 2022. So we expect 2022 work scope will be more or less stable versus 2021. But if you remember, and we've discussed that at the Capital Markets Day, we said that later, basically, there's going to be an increase in the mix of shop visits compared to what we had in mind precrisis with a higher number of shop visit number one and two versus shop visit number three. So -- but we don't expect to catch up this year on work scope. Spare engines, it is meaningful for our global OE margin for civil engines, as you might expect. We have enjoyed in the last years a very strong demand of CFM56 spare engines. And we expect this to smoothly year after year decrease. I mean we don't deliver any more OE-installed CFM56 engine. This is over, except for the military. We still have, let's say, a small flow of CFM56 for the P8 737NG aircraft for military. But we still sell some CFM56 engines, but we should expect that to, let's say, smoothly decrease year after year. On the other side, of course, we are ramping up LEAP deliveries, we expect, let's say, an increase of LEAP spare engine deliveries year after year. If you remember well, we should take in mind this average that we have already mentioned to the market of roughly 7% of engines being spared compared to, let's say, in fleet engines -- engine deliveries. Escalation formula. As Pascal has said, we face, let's say, a significant, let's say, increase of prices of some raw materials. We expect also because, I mean, the recruitment is very tight, especially in the U.S., that the labor cost in the U.S. could potentially increase as well this year. Our escalation formula are based on a sort of panel of raw materials and U.S. labor cost. So yes, indeed, by just applying the contractual escalation formula, we will pass to our customers, the air framers, let's say, part of, let's say, the raw material price increase. So part of it.
Operator: So we have another question from Christophe Menard from Deutsche Bank.
Christophe Menard: I had 2 questions left. Can you hear me?
Olivier Andries : Yes, yes.
Christophe Menard: I had 2 quick questions, the -- it's okay, perfect. Yes. Two quick questions. One on Zodiac -- sorry, on the Cabin Interior business. The margin in fiscal year '21 was a bit disappointing to me, I mean, the loss. And you explained some of the reasons. For -- you mentioned breakeven in H2. Is it all operational? I mean, is it all volume? Or do you still have operational improvements to be made to improve the margin? So that's the first question. And the second is on the disposal of the 30% of Zodiac activities that you mentioned at the CMD. What you've mentioned on the press release, is it part of it? And how far are you in that process at this stage? Those were the questions.
Olivier Andries : Okay, Christophe. On Cabin Interiors, the main impact, the main effect -- there has been 2 effects in 2021. First of all, the top line. And the top line has been significantly down in 2021, including versus 2020, minus 20%. It's a lot. So we have reached -- especially in H1 2021, we have reached the absolute low point of activities in Aircraft Interiors, be it for seats or for cabin. And so we've managed -- I understand that the losses are disappointing, and by essence, losses are disappointing, but basically, I can tell you, it has been a challenge to post, let's say, losses, let's say, more or less in line in absolute terms with what we've seen in 2020 in spite of this very meaningful decrease of activity. So we would not have made all the restructuring that we have made since, let's say, spring 2020, it would have been significantly more losses. I know this is not satisfactory, but this has been the main effect. Now we are not at the end of the restructuring, especially in our cabin activity. So there are still work to do, okay? But of course, we need to, let's say, execute this adaptation and restructuring whilst continuing to serve our customers. So -- and so we will continue in the course of 2022. As we've said before in this call, we have launched a significant decrease of headcount in Cabin Germany, basically 300 people. Around 300 people will leave the company in H1 2022, and we will continue the transfer of work from South California to Mexico. We have -- by the way, you have met him, but we have nominated at the end of 2021 -- I have nominated Jorge Ortega who is well knowledgeable about this kind of activity to execute and to, let's say, secure breakeven as quickly as possible. So for 2022, we expect, let's say, H1, the top line is still going to be a challenge, I have to say. So we expect, let's say, backloaded year. So this is why H2 should be better than H1 in terms of top line. And also because we are going to, let's say, go forward with our continued adaptation plan, this is why I said we should expect still to have losses in H1, less than last year, obviously, and to be above the line in H2. Disposals, Pascal will take your question on disposals.
Pascal Bantegnie : So during the Capital Markets Day, we say that 30% of the former Zodiac Aerospace activities were under review. Yes, I do confirm that the disposal divestment of EVAC, Arresting System and Safran Ventilation System in Oklahoma are part of this plan. If I do a quick math, I would say that it represents more or less 10% of activities under review.
Olivier Andries : So 10% of the 30%.
Pascal Bantegnie : 10% completion of our plan. As we are conscious that Rolls-Royce and BAE are publishing today as well and you're all busy, maybe we'll take one last question.
Operator: We have David Perry from JPMorgan.
David Perry: Yes. I know everyone is in a rush. Two quick questions. One, Pascal, at what point do you change the guidance for Interiors based on these disposals? And secondly, Olivier, I think you said earlier, if I heard correct, 50, 5-0, percent of titanium is coming from Russia. If we are in a sort of new cold war environment and you have a problem, I mean, it's a large amount. What is the strategy to source titanium elsewhere? Is it possible? How do you do it? What time frame?
Pascal Bantegnie : Maybe I'll take the first question. First, among the 3 divestments we discussed, one is not falling into the Interiors branch. One is part of Equipment. Arresting was part of Equipment. Only EVAC and Safran Ventilation System fall into Aircraft Interiors. And at this point in time, it represents less than €100 million of sales. So it doesn't make a big difference. And I won't speak about EBIT. So we've launched further divestments, which are in process. But by the time we can execute them, it will be, for sure, year-end. So it won't have any impact on the full year guidance for Aircraft Interiors. So I don't expect at this point in time to change anything or to take into account this divestment during the course of this year.
Olivier Andries : David, on Russia, yes, I mentioned that VSMPO is representing less, less than 50% of our supplier, titanium supplier. So we have other sources. We have increased our stock of available titanium since the start of this year. We have bought stock of titanium in various places, especially in Germany, from distributors. So we can hold many months. Now this being said, yes, we have to accelerate the alternate sources, and we will do so.
David Perry: And is there enough -- I guess the question is just big picture, is there enough titanium outside of Russia to meet everyone's needs? Or can those suppliers --
Olivier Andries : Okay. That's a very good question, I have to say, because Russia is the #1 supplier of titanium worldwide. And they are supplying titanium to all aerospace players, the aircraft manufacturers as well as the engine manufacturers. So we -- I mean in the case of, let's say, a blockage of, let's say, titanium supply from Russia, I mean it would certainly create tensions everywhere, for sure. Thank you, thank you, and have a good day. Thank you all. Bye-bye.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may now disconnect.